Operator: Ladies and gentlemen, thank you for standing by, and welcome to the UP Fintech Holding Limited Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation, followed by a question-and-answer session. I must advise you that this conference is being recorded today, March 18, 2025. I would now like to hand the conference over to your first speaker today, Mr. Aaron Li, the Head of Investor Relations. Thank you. Please go ahead.
Aaron Li: Thank you, Operator. Hello, everyone, and thank you for joining us for the call today. UP Fintech Holding Limited's fourth quarter and full year 2024 earnings release was distributed earlier today and is available on our IR website at ir.itigerup.com, as well as GlobeNewswire services. On the call today from UP Fintech are Mr. Wu Tianhua, Chairman and CEO; Mr. John Zeng, our CFO; Mr. Huang Lei, CEO of U.S. Tiger Securities; and Mr. Kenny Zhao, our Financial Controller. Mr. Wu will give an overview of our business operations and discuss corporate highlights. Mr. Zeng will then discuss our financial results. They will both be available to answer your questions during the Q&A session that follows their remarks. Now, let me cover the safe harbor. The statements we are about to make contain forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. A number of factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about factors that could cause actual results to differ materially from those in the forward-looking statements, please refer to our Form 6-K furnished today, March 18, 2025, and our annual report on 20-F filed on April 22, 2024. We undertake no obligation to update any forward-looking statement except as required under applicable law. It is my pleasure to now introduce our Chairman and CEO, Mr. Wu. Mr. Wu will make remarks in Chinese, which will be followed by English translation. Mr. Wu, please go ahead with your remarks.
Wu Tianhua: Hello, everyone. Thank you for joining Tiger Brokers fourth quarter and full year 2024 earnings conference call. In the fourth quarter, driven by expanded client base, comprehensive product offerings and active market environment in the U.S. and Hong Kong, our financial and operating results both grew substantially. Our total revenue for the quarter was US$124.1 million, making a 22.8% increase quarter-over-quarter and a 77.3% increase year-over-year. Both commission and interest income hit record highs, growing by 35.8% and 16.3% respectively compared to the previous quarter. For the full year, total revenue reached US$391.5 million, a 43.7% increase from 2023. We are also pleased to report a significant improvement in profitability for 2024 with GAAP net income reaching US$60.7 million and non-GAAP net income reaching US$70.5 million, up 86.5% and 65% respectively from 2023. In the fourth quarter, GAAP and non-GAAP net profit were US$28.1 million and US$30.5 million respectively, reflecting a 58% and 51.7% increase quarter-over-quarter. We are excited to see record highs in both revenue and profit for Q4 and the full year of 2024. Additionally, our non-GAAP net profit margin increased from 20% in the third quarter to 25% in the fourth quarter. In the fourth quarter, we added 59,200 newly funded accounts, a 17.2% increase from the previous quarter. For the full year, the total number of newly funded accounts reached 187,400, surpassing our annual target of 150,000. By the end of 2024, the total number of funding accounts reached 1.09 million up 20.7% year-over-year. Year-to-date, we continue to see strong paying client growth. We target up far 150,000 new funded clients in 2025, while prioritizing user quality. In terms of total client assets, net asset inflows remained strong at US$1.1 billion for the quarter, with approximately 80% coming from retail users. Although slightly impacted by mark-to-market losses, total client assets grew by 2.4% quarter-over-quarter and 36.4% year-over-year, reaching US$41.7 billion. Notably, client assets in Hong Kong increased by about 50% quarter-over-quarter, growing 6x compared to the end of 2023, making Hong Kong our third largest market in terms of client assets. Additionally, we are pleased to see that over the past three years, despite shift in market cycle and investor sentiment, we've achieved strong organic growth. The total number of funded accounts and total client assets have increased at a CAGR of 17.5% and 34.7% respectively. These results highlight the tremendous growth potential in the market that we've entered and the trust our users have placed from time to time across different regions. We keep optimizing product features and expanding licenses to enhance user experience. Following Tiger Brokers Hong Kong Type 1 license uplift, our cryptocurrency platform, YAX Hong Kong, received license from Hong Kong SFC for Type 1 and Type 7. This officially makes us a licensed virtual asset trading platform in Hong Kong. Recently, we officially upgraded our AI investment assistant, TigerGPT to TigerAI and integrated with leading AI models, making us the first brokerage platform globally to incorporate this technology. This upgrade boost our intelligence investment assistant experience in two dimensions, deep logical deduction and financial data integration, enabling it to analyze market shape more clearly and interpret investment opportunities more effectively, empowering both retail investors and experienced professionals to make more informed decision in complex market conditions, ultimately driving long term investment value. Our 2B business continues to perform well. In investment banking business, we underwrote a total of 14 U.S. and Hong Kong IPOs in the fourth quarter, including Mao Geping Company, Pony AI Inc. and WeRide Inc., bringing the total number of U. S. and Hong Kong IPOs underwritten for the year to 44. In our ESOP business, we added 16 new clients in the fourth quarter bringing the total number of ESOP clients served to 613 as of the end of 2024. Now I'd like to invite our CFO, John to go over our financials.
John Zeng: Great. Thanks, Tianhua and Aaron. Let me go through our financial performance for the fourth quarter. All numbers are in U.S. dollars. Total revenue were $124.1 million this quarter increase of 22.8% quarter-over-quarter and 77% year-over-year. Both commission income and interest income increased on a quarter-over-quarter and year-over-year basis. Full year total revenue were $391.5 million, increased 44% compared to last year. Both quarterly and full year top line reached an all-time high in our operating history. Cash equities take rate was 6.9 bps this quarter increased from 6.4 bps last quarter as trading volumes were less concentrated in higher value names. Within commission revenue about 70% comes from cash equities, 30% from options and the rest comes from futures and other products. Now on cost, interest expense was $16.7 million, increased by 5% from the same quarter of last year due to the increase in margin financing and securities lending activities. Execution and clearing expense were $6.1 million, increased 172% from the same quarter of last year primarily due to an increase in our trading volume. Employee compensation and benefits expense were $37.2 million, an increase of 41% year-over-year due to an increase of global headcounts. Occupancy depreciation and amortization expense slightly decreased 2% to $2.1 million. Communication and market data expense were $11.8 million, an increase of 38% year-over-year due to the increase in user base and IT related services. Marketing expense were $9.5 million this quarter increased 64% year-over-year as we increased marketing spending under a more favorable market backdrop. General and administrative expense were $6.4 million, a decrease of 12% year-over-year due to a decrease in professional service fees. Total operating costs were $73.1 million, an increase of 39% from the same quarter of last year. As a result, in the fourth quarter GAAP net income was $28.1 million. Non-GAAP net income was $30.5 million, increased 58% and 52% quarter-over-quarter respectively. For the full year of 2024, total GAAP net income was $60.7 million and non-GAAP net income was $78.5 million also an all-time high and increased 87% and 65% with respectively compared to last year. Now I have concluded our presentation. Operator, please open the line for Q&A. Thanks.
Operator: [Operator Instructions] We will now take our first question from the line of Cindy Wang from China Renaissance. Please ask your question, Cindy.
Cindy Wang: Thanks for taking my question and congrats for the great fourth quarter results. So my question is first one, in 2025 you are targeting to acquire 150,000 new founding clients, which is the same as 2024 guidance. However, new funded clients you acquired in 2024 was much higher than the guidance. So how do we race through these guidance again in 2025, and the mixed contribution from each market? The second question is, could you give us new funded clients' breakdown by regional in fourth quarter? Thank you.
John Zeng: Okay. I'll translate for the first part. So in 2025, our focus on customer acquisition will prioritize user quality and ROI. We plan to expand our effort to acquire high net worth user base, rather than just pursuing user number growth. Therefore, we are setting a target of 150,000 newly funded users maintaining the same level as in 2024. However, we do expect to see the improvement in customer quality metrics, such as the average grant assets of the ARPU for this new user in 2025. Regarding the regional mix, we anticipate that the overall situation will pretty much in line with the actual breakdown in 2024 with Greater China region being the primary contributor. And in 2025, while ensuring the quality of new users, we have higher expectation for growth in Hong Kong and U.S. market, and we will consider increasing our marketing input if the market condition is favorable. Well, in the Q4 about 60% of new funded users came from Singapore and Southeast Asia, about 25% were from Greater China area, well around 10% from Australia and New Zealand market, and the remaining 5% came from the U.S. market. Thank you.
Aaron Li: And operator, please move on to the next question.
Operator: Thank you. We will now take our next question from the line of Emma Xu from Bank of America Securities. Please ask your question, Emma.
Emma Xu: So the first question is that, your compensation expenses have risen more than anticipated, and while there has been a notable increase in the effective tax rate sequentially. And the second question is, what are the first quarter run rate for your AUC, the pace of new funded clients and trading volume, and what's your thoughts on recent volatilities in the U.S. market on your business?
Wu Tianhua: So the rise in labor cost is mainly due to - we added extra employee incentive at the end of the year, which increased the year-end bonus accrual. The effective tax rate increased from 14% in the third quarter to 25% in the fourth quarter, primarily due to the increase in profit coming from the U.S. market, where tax rate is relatively higher. A couple of reasons. First, the market was very active in the fourth quarter, which benefited the margin financing and securities lending activities, nicely increased in local interest income quarter-over-quarter. Another reason is related to U.S. treasury bonds. For calculating tax, the income from T-bonds is only realized after maturity. So in Q4, we had several T-bonds matured, contributing to the increase in profit from the U.S.
John Zeng: Okay. I'll translate. So year-to-date, we have seen a solid sequential increase in total client assets, thanks primarily to strong net asset inflows. Specifically, net asset inflow year-to-date has already exceeded the number in the second half of 2024. While there have been some ups and downs in the U.S. stock market, we are still looking at a mark-to-market gain in general. Plus the number of new users is growing rapidly, keeping up the momentum we noticed in the second half of 2024. In terms of trading volume, it has been quite active in both Hong Kong and the U.S. market this year so far. So the trading volume for Hong Kong stock has already exceeded what we saw in the fourth quarter of last year. This has balanced out the impact of the recent volatility in the U.S. market. So overall - the overall trading volume has remained steady, versus the fourth quarter of last year. Recent in March, the U.S. stock market has experienced some volatility, due to the various factors like tariff, geopolitical issues and uncertainty in price risk costs. From our perspective, as a broker-dealer, we value more on velocity. We believe that some volatility triggered by economic, or political events, or headline news actually drive trading volume. In the first three weeks of March, the average daily trading volume on our platform, for both Hong Kong and U.S. cash equity, has been higher than what we saw in the first two months of this year, and in the Q4 of last year. Thank you, Emma.
Aaron Li: Operator, please move on to the next question.
Operator: Thank you. The next question comes from the line of Hua Fan from CICC. Please ask your question, Hua.
Hua Fan: And I have two questions here. This is Hua Fan from CICC, and I have two questions here. The first one is about crypto. Since we have gained the VATP license, how will the license contribute to our growth in the crypto sector? And also, would you please give more color on our crypto development in the Hong Kong market in Q4? And the second question is, about the interest income. We see the micro finance and securities lending balance remained flat in Q4. But given the rate cut cycle, the interest income Q-on-Q grew at a double-digit pace, and way faster than the interest expense growth pace. So what causes this inconsistent trend?
Wu Tianhua: So in terms of VATP, we got the Hong Kong SFC Type 1 and Type 7 license before Chinese New Year. So this officially make us a licensed virtual asset trading platform in Hong Kong. With those license, we can now legally offer spot trading and custody service for major cryptocurrencies like Bitcoin and Ether, as well as tokenized assets. By integrating our crypto service with our broker-dealer entity. We can create an ecosystem combining Web2 and Web3 assets. Our goal is to become the bridge between traditional finance and cryptocurrency. Also an update on our Hong Kong business, is my client assets have continued to grow, increasing nearly 50% quarter-over-quarter, and about six times year-over-year. Hong Kong market has been quite active since fourth quarter. So the trading volume of Hong Kong shares, has increased from 10% of our total trading volume to about 15%. Commission income from Hong Kong shares has increased by over 160% quarter-over-quarter. Tiger Broker Hong Kong has achieved breakeven in the fourth quarter, thanks to a significant rise in both commission and interest income, with interest income doubling from the previous quarter. Looking ahead, we will keep investing in Hong Kong, to drive the growth. In terms of customer acquisition, we continue to focus on attracting high-quality users and maintaining a strong ROI. In the fourth quarter, newly funded users had an average net asset inflow of over US$30,000, the highest among all markets. Average client asset in Hong Kong is around US$20,000, also the highest among our overseas markets. ARPU from Hong Kong user is also double of the group average.
John Zeng: So although the margin financing balance as a whole remained flat quarter-over-quarter, but there was a notable shift in the mix in the fourth quarter. High-yield segments such as margin and hard-to-borrow securities lending, we saw an increase in balance, compared to the previous quarter, while the balance for lower-yield business like treasury management experienced quarter-over-quarter decrease. This shift contributed to a higher return on our bottom line. In addition, interest income rose by 16% quarter-over-quarter, significantly outpacing the increase in interest expense for a few reasons. Number one is we negotiate better rate terms, with local banks that helped increase our idle cash interest. The second is the market has been active and volatile, increasing demand in security lending market, also increased margin activities for U.S. and Hong Kong trading. Thanks.
Aaron Li: Okay. Operator, let's proceed.
Operator: I'm showing no further questions. I'd now like to turn the conference back to Aaron for closing comments.
Aaron Li: Thank you. I'd like to thank everyone for joining our call today. I'm now closing the call on behalf of the management team here at Tiger. We do appreciate your participation in today's call. If you have any further questions, please reach out to our Investor Relations team. This concludes the call, and thank you very much for your time. Thank you.
Wu Tianhua: Thank you.
John Zeng: Thank you.
Operator: Thank you. Well, thank you very much for your participation in today's conference. This does conclude the program. You may now disconnect.